Operator: Good morning, ladies and gentlemen, and welcome to Orange's Third Quarter 2015 Results Conference Call. For your information this conference is being recorded. This call will be hosted by Ramon Fernandez, Deputy CEO and Chief Financial and Strategy, with members of Orange's executive committee for the question-and-answer session that will start after the presentation. Thank you and let me hand over to Ramon Fernandez.
Ramon Fernandez: Thank you very much, good morning and thanks for joining our Q3 results conference call. So I will present the main highlights and then with my colleagues from the executive committee will go through the Q&A session. Please note that these results include three months of Jazztel and Méditel. And let's go straight to Slide 4, which presents the main results of the quarter. So as you can see in Q3, the revenues and EBITDA have increased by plus 0.5% and plus 1.1% respectively. This is the first time revenues and EBITDA have grown since 2009, so it's clearly good news. We achieved a turnover of EUR10.3 billion. The increase in revenues coming from the recovery of mobile services in all our geographies. Our EBITDA reached EUR3.6 billion and our EBITDA margin which stood at 34.6% also grew by 0.2 points. With EUR1.6 billion in Q3, our investments represent 15.2% of revenues. They have grown by 7.6% compared to last year reflecting the acceleration of our investments in very high broadband network and event, this is at the core of our strategy. Our customer base has risen to 263.3 million customers. This is an increase of 11.6 million in 1 year and reflects the good commercial performance in all our geographies. Turning to Slide 5, the commercial performance of the third quarter was once again very good in line with the results of the previous quarter. A consequence of our targeted investments in very high broadband. The Group's 4G customer base stood at 15 million continuing its growth in all our European countries with a very good momentum in France and Spain. The FTTH activity was also very strong particularly in France, where we have once again a new record in the net sales despite a very promotional market. This excellent performance underpins the broadband conquered share estimated above 50% in the third quarter. In France, we have 827,000 FTTH customers at the end of September. Consistent with our goal of reaching 1 million customers by the end of the year. In Spain, FTTH base has grown strongly driven by the acceleration of cross provisioning on Jazztel footprint. In Africa and the Middle East, the mobile base reached close to 111 million customers and Orange Money gathered over 15.5 million customers. Lastly you can see, that on the enterprise segment we continued our development in the areas of cloud and cyber security. Which are benefiting from the performance of our networks and our operator expertise? Turning now to Slide 6, you can see that the third quarter amplified the improving trend in revenues observed in preceding quarter. With positive growth of 0.5% compared to minus 0.2% in Q2 excluding regulation, this is the second quarter in the row of positive revenue growth and the improving performance was supported by continuously improving trends in France, Europe, Enterprise with Africa and the Middle East showing a very strong performance in Q3 at plus 6.8%. If you look at it from the standpoint of product categories. The two main drivers of this improvement in group revenue trend was the continuously improving trend in mobile services, which turned positive this quarter plus 1.2%. It was minus 1.6% in Q2, minus 2.8% in Q1 and also ongoing growth of fixed broadband services mostly in France and Spain. This growth in revenues contributed to EBITDA growth as illustrated in the next slide. In Q3, EBITDA increased for the first time since 2009 and reached EUR3.6 billion. This very good performances result of revenue growth and also continuing efforts on our cost base. The graphic at the top right provides more details on the EBITDA evolution compared to the third quarter of 2014. First, revenues increased by EUR54 million. Second, we maintained our efforts on cost, while sustaining the positive dynamic of our activity. Our direct cost were stabilized and we continued our efforts on indirect cost. Especially driven by group average full time employees down again 4% year-on-year and in France, indirect cost continued to decrease at the same pace as in the first half. Excluding Africa and Middle East, direct costs and indirect costs decreased respectively by EUR18 million and EUR40 million. For cost base of the Africa and Middle East area increased in line with the growth of the activity. Direct cost increased by EUR17 million with higher interconnection costs and indirect costs increased by EUR55 million mainly due to higher IT and costs partly driven by sites volume with close to more than 1,800 new sites and also linked to higher operating tax linked to revenue growth and also the institution of new taxes in several countries. Overall, these results very robust. Allow us to fully confirm our guidance of EBITDA which is now restated to take into account the integration of Jazztel and Méditel and I will comment that point later in the presentation. Now turning to Slide 8, looking at investment. In line with the trend of the first half and of course fully in line with our plan, Essentiels2020. We continue to increase our investments in Q3 and for the first nine months of the year, our investments reached EUR4.2 billion, which is a CapEx to sales ratio of 14.2%. We increased our investments by 6.9% which represents an increase of EUR273 million and this investment effort came mainly from France and the acceleration of our investment in fiber. We now have 4.6 million connectible homes in France. This is up by 1 million since beginning of the year, in Spain. Thanks to the acquisition of Jazztel, we now have 5.2 million connectible homes with fiber and our target is to reach 10 million households by the end of 2016. In Poland, 4.6 million households are eligible for VDSL, which is an increase of 800,000 in 1 year and we have multiplied by for the number of households connectible to fiber's since the beginning of the year. In mobile, Orange confirmed for the fifth year in a row its leadership in terms of quality of voice and data services according to the analysis of our regulator, ARCEP in 2015. We also continue to be the leader in France in 4G with over 77% coverage of the population. This is plus 6 point in 1 year. Also in Spain with 82%, plus 16 points in 1 year and we're continuing our deployment in Poland, in Belgium, in Romania, Slovakia where we're achieving progress in terms of coverage of the population at a rapid pace. In Africa and the Middle East, all our countries are now covered with 3G and we have 4G in four countries with the number of mobile sites increasing by 8% in 1 year. Lastly, we are as you know modernizing our shops as announced our plan Essentiels2020 in several European countries. We have deployed these newer Smart Stores concept in Poland, Romania, Moldova, Spain and of course France, where we opened in September, our first Smart Store in Paris on Champs-Élysées and Romania also opened its second Smart Store in Bucharest. I will now turn to the business review looking into more details at our various segments. And as usual beginning with France on Slide 10. Where you have, a clear picture of the third quarter confirming the improvement of revenue strengths thanks to the recovery of mobile services and also still a strong momentum in fixed broadband. Mobile revenues including services and equipment increased by 0.7% supported by an increase of our contract customer base and also a significant evolution improvement. You can see here on this charge that in the third quarter and this is the first time, since 2009, the 12 months roaming ARPU increased compared to the previous quarter. Looking at fixed services, revenues contracted by 1.9% in Q3. Fixed wholesale activities slightly decreased. This is mainly due to comparable base affect as we reported an intense and bundling activity and the speed up of fiber rollout activities in Q3, 2014. Second, performance in broadband services continued its momentum with an increase of revenues by 2.3% in Q3, after 1.9% in H1. This is thanks to the growth of our customer base driven by fiber success and also a stable ARPU compared to the previous quarter. So ARPU is doing better both on mobile and broadband and lastly, the trend of fixed broadband revenues decreased slowdown, thanks to the price increase implemented in March, 2015. As regard commercial performance, let's have first look at mobile on Page 11. Where you have third quarter posting, the strongest level of contract net adds of the year even higher compared to Q3, 2014. This very good performance is certainly the result of a good level of gross sales, but also and especially of the increasing loyalty of our customers as evidenced by the increasingly low level of contract churn rate. We are now at 13.5% in Q3, this is almost two points lower than a 1 year ago. SIM-only offers continued to be predominant in our gross sales that accounts now for 48% of our customer base. And these SIM-only packages are offered over the whole range of prices of our catalogue and allow us to recruit also high end customers. Our mix is improving. We have 61% of consumer voice contract on premium offers Origami and Open and Sosh customers represent now only 40% of the total SIM-only customer base. This is 11 point less in 1 year. So SIM-only is not synonym of low cost on the contrary. Turning to fixed, Page 12, we have again record quarter in terms of net adds. Fully supported by our fiber strategy with 108,000 fiber net adds of which a significant 61% rate of new Orange customers. FTTH penetration increased by 3 points in a 1 year at 18%, with a strong take up of our customers. For example, I can underline by saying that four out of five of eligible Orange customers already migrated to fiber. All in all, the broadband customer base increased by 3.5% with a record estimated conquered share of 50%. Convergent continues to drive our sales as nearly half of our broadband customer base was on quad play offer. Leading to a decrease in the churn rate, despite a strong price pressure on the market. Now looking at Spain, which is clearly the second country in the group. You see in these numbers the impact of the consolidation of Jazztel since July 1. In Q3 revenues trend recovery was confirmed thanks to first mobile services improvement at minus 2.7% after minus 6.6% in Q2 driven by an improving ARPU trend. And second, while fixed broadband revenues maintained at positive growth at 6.6% in Q3, driven by fiber with 142,000 net adds in Q3 leveraging cost provisioning on Jazztel footprint. So mobile and fixed and contributing to this good results. And in Q3, we had a solid commercial performance still driven by 4G, FTTH and access to contents. The new combined entity Orange Spain Jazztel took the leadership in terms of mobile portability balance and reinforces its 4G leadership thanks to a successful 4G plan for Jazztel customers. Our 4G base kept growing with plus 1 million new customers in Q3. Our fixed broadband base grew by 8.8% and is now at 3.7 million customers of which 563,000 FTTH customers. More than 81% of the broadband base is on convergent offers and churn here also significantly decreased. Looking at content, Orange TV has grown significantly and is becoming a critical element in our strategy in Spain, with new football offer at boosting growth. Indeed in Spain, telco operators have become the only option for customers to have access to football and in that context, it was key for us to secure an access to football rights, which we did, successfully. We have now an access to La Liga, Copa del Rey through Telefónica wholesale offers and we also got an access to Champion League for which Telefónica does not in fact have any rights for the moment. Turning to Page 14, still on Spain. Good to recall that in August, we finalized the acquisition of Jazztel and following this results. We own 100% of the company. The integration process started during the summer and we can tell you that it's very well advanced. Orange and Jazztel integration is ahead of schedule with the new organization already in place. Synergies on track and expected run rate of synergies now higher than previously anticipated. The acquisition of Jazztel allows us to extend and accelerate the connections to fiber. At the end of September 5.2 million households were connectible with fiber and the target is to reach 10 million in 2016. In August, we launched the fiber migration of Orange Spain customers to Jazztel network and also Jazztel migration to the 4G network. Commercial coordination is driving a strong reduction of internal churn and as a result, we anticipate a higher run rate of synergies. This is now more than EUR200 million compared to EUR160 million initially we planned. And this mainly comes from cross provision of FTTH synergies above the previous plan, which is generating higher savings and excess cost and this will generate additional NPV. We will go from the initially expected EUR1.3 billion to EUR1.8 billion. In Poland, Page 15, commercial trends improved in mobile while they were better growth additions in fixed very high broadband. Mobile services revenues eroded by 2.7% excluding regulation. This is an improvement over the minus 3.9% of Q2. Competition from cable kept a strong pressure on fixed revenues which are down by 7.6% in Q3. But our Convergent strategy is moving forward with 31% of our broadband base now in Convergent offers and last but not least, you know that we had in Poland recent 4G auctions. We now have two blocks of 5 megahertz and the 800 megahertz band. Three blocks of 5 megahertz and the.6 gigahertz band. And this very favorable outcome of the auction for us, gives us a share of 22% of the 4G availed spectrum in Poland and this is key to consolidate our long-term position in the market. Turning to Belgium and Luxembourg, for the first quarter since Q4, 2012 consolidated revenues went back to growth in Q3 with plus 0.6%. this is to be compared to the minus 2.5% we had in the last quarter. This is partly explained by our contract net adds performance which is sustained in B2C also improving sequentially in B2B. And so altogether Belgium successfully posted plus 8,000 contract net adds after plus 1,000 in Q3. Another key factor for this improvement is, saying that the annual contract ARPU kept on improving in absolute terms and sequentially up plus 3.6% and last but not least, annual contract churn kept on improving versus the previous quarter. So with this commercial momentum restored, we're preparing to take advantage of the upcoming cable growth opportunity and not withstanding clear improvement, we still believe that the current derived decision on cable wholesale tariffs should be further improved to assure a sustainable profitable framework for alternative operators in the context of the acquisition of BASE by Telnet, which is as you know now in Phase II review by the EC. Looking at Central European countries, you are aware that we have sold our share of 100% in Orange Armenia to UCOM, an Armenian internet service provider. This deal was closed in early September and so this segment consist of Romania, Slovakia and Moldova. With revenue growth confirmed this quarter and further improving at plus 3.2%. this is again driven by Romania which is 57% of this segment and which is growing by 7%. Churn also is improving in all three countries. This is a general pattern in all our geographies, which is obviously very encouraging. Africa, Page 18. You can see here that our operations have seen high level of growth close to 7% in Q3 and this solid performance is driven by number of countries among which Ivory Coast, Egypt, Mali, DRC and a few others. We also started to consolidate Méditel in Morocco on the 1, July. Which represents an additional EUR132 million of revenues in Q3 and our mobile customer base went up 0.7 million customers in Q3. We now have 111 million customers in this region, which is quite impressive I think. And lastly, as announced during the summer, the due diligence process for the acquisition of four assets of Bharti is ongoing, so we will have a chance to discuss this forever later this year. Turning to the enterprise segment and before concluding on our guidance. You see here that, we also have a positive figure for the Q3. Revenues are increasing by 0.5%, this is thanks to the strong growth of IT services with good deal deliveries in the quarter, data services continued, their improvement trend and in a market evolving towards more services, cloud and security continued to be a driver for our Orange business services operations with very strong revenue increase of 19% on the cloud and 40% on security. I will go now to Page 21, our guidance for 2015. You will not be surprised that with these solid results, we aim to reach a restated EBITDA of at least, EUR12.3 billion in 2015. This takes into account the integration of Jazztel and Méditel and it also means that we will be in the higher end of the previous EUR11.9 billion to EUR12.1 billion range for the old parameter. We also maintained our objective to keep our net debt-to-EBITDA ratio around 2 in the medium term. Regarding the dividend for 2015, we confirmed our proposal to maintain its level of $0.60 and pay an interim dividend of $0.20 on December 9. Regarding our portfolio management policy, we project previously announced reflect our pragmatism for the sake of maximizing shareholder value. Well, I think I will stop here. I thank you for your attention and we are now all ready to answer your questions.
Operator: [Operator Instructions] we will now take our first question from Jakob Bluestone from Credit Suisse. Please go ahead.
Jakob Bluestone: I was hoping you could perhaps make a comment just on how you've seen the competitive environment evolved during the quarter in both French fixed and French mobile. There is obviously quite a bit of promotional activity in both during the quarter. But and obviously you posted a pretty resilient performance and so just any color you can share on how you've seen the competition evolved? Thank you.
Ramon Fernandez: Yes, I will turn to Fabienne Dulac who's heading our French activities in a second, but I would just want to highlight that despite this highly competitive environment. You can see that the performance is very good. So, we have seen some [indiscernible] on prices, on fixed, on mobile and despite this we're doing very well. We have record sales in mobile and fiber. And we did not follow this kind of rush to the bottom of some of our peers. So, it's a very competitive environment but saying that we have the best network is clearly you know and this is, the basic of our strategy to invest and build on the quality of the network. This is convincing our clients because they're coming to us even if on some aspects they have to pay from time-to-time a bit more than with others. So I will now give the floor to Fabienne.
Fabienne Dulac: Good morning, so September especially was a very strong and competitive market. We have a lot of promotion especially on the mobile and broadband ADSL. We have a lot of promotion very, very strong and [indiscernible] that we have never seen before, but we are confident in our strategy. We decide to maintain 10 or 2.15 premium on price compared to our peers and not abuse to just compared and it was a good result for us. So we decide to maintain to remain in this position and stay cautious. We have net sales, good and we tend to increase, our share of market in the next month.
Operator: We will now take our next question from Nicolas Cote-Colisson from HSBC. Please go ahead.
Nicolas Cote-Colisson: Thank you. I've got three short questions. Just one follow-up on the previous question. So are you saying that, your strong commercial performance is not associated with higher direct cost in France, is mostly driven by best network? My second question is on Spain, I was wondering if you could share some indication on the timing and the potential outcome for the regulatory review on the wholesale fiber prices. And the last one is on Africa. If we can have an update on the holding structure plan, after you've changed the management team for the region? Thank you.
Ramon Fernandez: In terms of, for the first question, a direct cost in France are flat. So and even going slightly downwards, we can give you some precise figures, but we are more on the downwards side. And so maybe we can give more details, if you wish on this point. On Spain, I will turn to Gervais, maybe one word on Africa. The holding structure has been put in place. We now have all our assets under the holding company. You have seen that, the management of our operations will involve next spring and then we will see, what are the opportunities which could trigger potential evolutions. But for the time being we are very much concentrating in managing our operations, which are doing very well. Once again 7% increase in revenues in Africa, Middle East this quarter. We don't give EBITDA margins on the quarterly results. But you know that and this is not changing, the average profitability of our African operations is higher than the average of the Group, roughly bit more around than let's say, 3 points above the average of the group. So this is for us very important, we now have around 12% of group revenues in Africa and the Middle East. Turning to Spain, Gervais?
Gervais Pellissier: Also, the proposal has been made already for few months by the telecom regulator. We expect decision would set early in 2016. And we don't think that, the elections might change that because the proposal of today is already done in political circumstances where there is good support for Telefónica and so I'm not sure that's the result after the election will be exactly as the same political [indiscernible], so we should have a decision for early 2016. However, a point important is that in our plans, we are putting ourselves in the situation where we will depend even less on Telefónica wholesale capacity than we add initially thought we will build more lines than we initially thought, a 1 year ago. So the dependency on Telefónica will be lower.
Operator: We will now take our next question from Sam Dhillon from Royal Bank of Canada. Please go ahead.
Sam Dhillon: Just firstly on your French fiber net adds. How many of those net adds are coming from the Livebox Zen offer for EUR20 for 12 months and how much of it is in an Open quad play of the tariff? And second, given the success you're having in fiber is there any temptation to accelerate investments as part of Essentiels2020, I think you guide around '16 same CapEx to sales or 16 to 17 would be tempted to increase that?
Fabienne Dulac: The most part of net adds confirm open.
Sam Dhillon: Okay, is the Open Mini or the Zen, is the interesting?
Fabienne Dulac: Open largely, global.
Unidentified Company Representative: As Fabienne said, most part are coming from Open. We know perfectly that, one of the good success offer we had just during the past quarters and we will continue to reinforce these positions with high intensity on CapEx. But also segmented and localized segmented approach, you know perfectly that our target is to reach 100% of the cable area, we are now at 43% and we will continue to do that during the coming quarters.
Ramon Fernandez: And in terms of investments, as you've seen in the figures. We are, having a clear increase in the CapEx effort at group level in our various geographies especially in France due to fiber. Honestly it's complicated to do more, you need to have the people to rollout the fiber and it's already going at a very rapid pace, you have seen the figures. It's - we still have the objective of having 1 million customers at the end of the year. So this is you know tough work and it's very encouraging to see that, the rate of connectible to connected homes is increasing on a regular basis, we now have reached 18%, it was 16.7% at the end of the second quarter. We aim to reach 25% of conversion rate in 2018 and we are fully on track. So the fiber plan in France is really working very well, it’s providing revenues you know event, we have an increased ARPU on fiber of EUR5 in average with the aim of going to EUR7 in 2018. This is something you had already heard, but it's good to just recall the fact, that we are very well on track and the plan is working perfectly well. So we are very happy with what's going on in fiber in France, also in Spain. Where Jazztel is really a great operation I think we have done and I'm bit repeating myself, but from time-to-time repetition is good. The integration is working very well and it's not so often that, you're in a position to revise upwards in over synergies that you have presented to the markets and this is what we are doing in Spain because the team is working very successfully. So fiber is a winning game.
Operator: We will now take our next question from Stephane Beyazian from Raymond James.
Stephane Beyazian: Yes, thank you. Three questions, if I may. The first one, I would like to come back to the low point for EBITDA in 2015, how few you stay that on that, it seems, you may earn more from the roaming deal, did you, than you initially expected. But isn't there risk of a larger let's say accumulated loss next year, so potentially putting more pressure for low point in 2016 rather than in 2015 and part of this, having in mind, that the regulatory pressure I think is mounting to gradually stop the deal. My second question, have you started to see some revenues pooled away by SFR Numericable or actually, do you believe your net positive it's just, the company, meaning that we've seen a local authorities like Lil [ph] Metropole for instant or corporate quite irritated by Numericable's strategy. So you actually believe that, you may be winning some non-residential customers back to you? And my third question, I just would like to come back on where the discussion stand with the EU regarding the single telecoms market, it's implication and what are the possible next steps going forward? Thank you.
Ramon Fernandez: Thank you. So I will turn to Pierre Louette for most of the questions, but I will take the first one. Are we confident that we will reach the low point in EBITDA in 2015, the answer is yes. The answer is clearly, yes. This is what we said in March, that we had the ambition to reach the low point in 2015 and I'm absolutely confident that this will be the case. We have very good dynamic, which is seen in the figures you've seen in the first three quarters of the year and we are going to build on this positive momentum. So it's a clear, yes. Now I'm turning to Pierre.
Pierre Louette: Okay, so for your second point was addressing the situation in Lil [ph] for instance, but above all. We have a different landscape now, as you know SFR Numericable is taking new decisions today, which are very different from the previous SFR. So first of all, they're not going to rollout FTTH in the areas, where they already have cable and that's one important decision, they apparently have made. Which means that they're going to free in a way or liberate the commitments that the previous SFR had taken for 900,000 homes in less dense areas and of course, we might consider taking over those projects and doing what they're not going to do. But also in other areas of the country, they're just not apparently completely following the indicated plans, which means also that they're disappointing some of the local communities and we have completely followed our commitments. So we are running FTTH's where it was meant to be rolled out and the local communities can really make the difference between the ones who have taken a commitment and respected and the ones, who're not respecting the commitments. So it's a different attitude today and I think everybody makes the clear difference between the real fiber and cable and between the ones running out and the ones making promises but not keeping them. So that's one point for I think Numericable. And so regarding the European community and the new project of Digital Single Market, the DSM. There are two things, which are clear, they're not going to address again, what was covered previously by the DSM, which is the net neutrality regulation. What has been reached as a sort of coming understanding between the parliament and the commission, is fairly okay for us. We can live with it, so it's not the worst case scenario and that's good news for us. But we are not saying it too loud because if we say too loud that we're happy, it could be considered as bad news for others. So we're saying, it's okay. So that's one thing and regarding the investment programs. You know that, European Commission, Jean Juncker has made clear that they would have money's available for other people to invest, until now we haven't made lot of use of those funds because actually we could find money internally or under markets at even better prices. But I think it goes into good direction too. So overall the commitment to creating an environment that is favorable to investment is there and I think we have a slightly better approach than the previous commission had.
Operator: We will now take our next question from Andrew Lee from Goldman Sachs. Please go ahead.
Andrew Lee: Just on France firstly, I guess the question that tallies with a lot of other questions earlier. You've shown improving trends since raising a quad play for us in July. The market appears more rational broadly, prices amongst less than Europe. You're improving your premium position and you've appeared to, whether the Back to School promotional period leaves me well, as it's been pointed out. So could you just comment on whether you see the market continuing the recent inflationary trends. And could you give an update on your ability to increase your premium price position. I think you mentioned the 10 to 15 premium, could that rise overtime? And what's the key risk to this improved environment? And then secondly just on cost cutting, your underlying indirect cost reduction of EUR40 million was a little lower than previous quarters. Are you still confident on your big cost cutting target set at the CMD? And could you give some color about the underlying efficiency opportunities you still face? Thank you.
Ramon Fernandez: I will come back to the cost issue maybe Fabienne on the French market.
Fabienne Dulac: Yes, how [indiscernible] sales and the ongoing improvement of our customer needs, allowed us to be fairly optimistic about our ability to reach stable total revenue in absolute in the Q4, year-to-year. If we're in the same market and if we are in the same class condition. For the direct cost, I just want to precise, the direct cost are still decreasing. It's the result of the market segmentation strategy we decide and I think it's a good one and it's the stuff of subsidies on low hand market we decide to and I think it's a good statement too. Ramon, you want to pursue?
Ramon Fernandez: Yes, thank you. Fabienne. In terms of cost you know, we are absolutely committed to continue the efforts we have engaged in. We have announced and we are engaged in second Chrysalid program, which is our operational efficiency cost program. Maybe Pierre will also want to add something on this. But, if you look at the quarter, you have to look at what is behind the evolution of direct or indirect costs. In fact, most of the costs that you're looking at when we increase our growing with increased revenues. Especially in Africa where there is this, in fact if you look outside of Africa direct costs and indirect costs decrease, go down. Why do we have a slightly increase indirect cost in the third quarter, it's EUR15 million increase because we have in Africa, an increase of EUR55 million, which is once again essentially due to network costs. But this goes more sites, we have more traffic, we have 1,800 new sites. We also have some higher operating taxes, but this goes with revenues. The 7% increase we see in revenues in Africa are also generating part of this cost. So we have to look at it in this environment. Looking at France, one of you had this question on France also. If you look at France. We are continuing the same trend of indirect cost decrease and we in fact in the third quarter in France for instance, we have the same figure as in the first quarter of the year. It's slightly over EUR40 million of indirect cost decreases driven by labor cost, but also general expenses. And so there is once again, we are working on this. Revenues are much better, but it does not mean that we're going to be less focused on cost efficiency.
Pierre Louette: Regarding the Chrysalid approach, we have as you know produced a first plan in which, we went well beyond the expected targets in terms of cost avoidance and cost cutting, if you want. We had originally targeted EUR2.5 billion and we reached EUR3.5 billion, so this is well beyond the expected target and now we have launched another plan. We are building up the inventory actually, so a lot of initiatives are coming from the older parts of the group, from the countries, from the divisions. And so we're building up this inventory, we have no doubt that we can produce the same kind of performance and I just would like to stress two points, I think Ramon has touched also. There is sometimes good news and not cutting your entire cost too quickly because it's mean that you're growing fast and that's exactly what's happening in Africa, so we have growth, we have new networks produced, we have energy spending. Okay because we have growth and we have more networks than the past, so that's not bad, but we're working on them. And the second really, really good news is that France had the very strong performance in terms of cost avoidance, cost cutting, with no social reluctance if I may put it that way and we can completely count on France to continuously produce an incredible performance in terms of transforming the way it operates and the way it spends and doesn't spend.
Andrew Lee: Thank you. Can I just follow-up just on the pricing comments, at the start of your answers. You've raised prices once on a single core play product, is there an opportunity to do that or did you expect to raise prices in the coming 12 months in any of your products? Thank you.
Fabienne Dulac: The market is more intense, more turbulent and we have more competitive promotions from our competitors. We decide to pursue our strategy, the market segments for strategy and whole the statement we have. I think and I'm confident in the decision that we took and we're confident in the future.
Operator: We will now take our next question from Wassil El Hebil from Berenberg. Please go ahead.
Wassil El Hebil: I have two about your guidance. So the first one, the new guidance off at least EUR12.3 billion EBITDA restated seems a little bit too conservative in my view, given that it implies an EBITDA decline of roughly minus 2.7% in Q4, while you started growing your business in Q3 and stabilization in Q2. So can you explain this very conservative scenario and what's your best guess to deliver an EBITDA of 12.7. The second question is just regarding the [indiscernible] in 2015 regarding EBITDA. So in Bloomberg [indiscernible] headline saying that EBITDA will improve in 2016, I just want to make it clear, if it's related to reported EBITDA or is it comparable basis EBITDA including the Jazztel and Méditel [technical difficulty]? And then the third and last question is regarding France and the mobile ARPU. Is it fair to say, that the ARPU network services excluding Iliad roaming revenues and M2M and MVNO is growing in Q3 and if so, has this increase has been driven by, first it's impacting your mobile back book due to 4G and are you seeing an upgrade improvements in the customer mix and actually if you can give a statistic about this number and just say how many customers take offers with over 3 gigabyte today and part one year ago? Thank you.
Ramon Fernandez: Okay, so on the guidance. I'm going to repeat what I've said and then you know, you will make your own calculations. In fact, I'm not sure it's so conservative. The guidance for 2015 [indiscernible] parameter is at least I'm trying to put the tone, you see at least EUR12.3 billion, right? And this is consistent with being in the higher and offer the previous range. Now I don't want you know at this stage to be more precise than this. I think with this you can look ahead with confidence as we do. What about 2016? Well, in 2016 we will have a performance regarding EBITDA which will be higher than 2015 because as I said, we are absolutely confident that the low point in EBITDA will be reached in 2015 and this of course is related on a comparable basis. So what I'm saying about the at least EUR12.3 billion will be the reference for doing better in 2016. I hope this is clear enough. Looking at the mobile ARPU in France I will turn, the floor to Fabienne, but once again you have seen the chart. You have seen that, it is the first time since you know 2009 that we have 12 months roaming ARPU on mobile, which is increasing compared to the previous quarter. Which is an encouraging signal of how the market is performing?
Fabienne Dulac: So there is two point, for the first. The premium offer increased to 61.5% compared to 60% in Q2. It's linked to our segmented offers and our segmented marketing strategy. We want to pursue this policy in a cautious approach on our subsidies, it's very important for us, since [indiscernible] EBITDA. For the point about the mobile ARPU. I would like to note the annual rolling blended ARPU amounts to EUR22.6. The annual rolling blended ARPU decreased is still slowing down, its' very important for us. For the forecast, the 2015 annual rolling mobile ARPU decreased will be strongly reduced compared to last year.
Operator: We will now take our next question from Dimitri Kallianiotis from Redburn. Please go ahead.
Dimitri Kallianiotis: Just three quick questions, please. Just regarding your commercial performance in Q3 that was very strong, I understand that for fiber because you're pretty much the only one investing, but [indiscernible] ARPU also positive, but you haven't done a lot of promotions, so it doesn't seem you've done a lot of promotion. So why was the asset performance was so quite strong in Q3, please. My second question is regarding wholesale revenues in France. That was slightly down in Q3, the contact quite tough compared to last year, but I was more thinking about the coming years. Should we expect wholesale revenues to grow in France, thanks to fiber or will they come down because of lower unbundling revenues. And my last question is regarding Bharti, which you've mentioned. Clearly, you've seen in talks. I was just wondering, is it taking longer than expected or I thought, you would probably already a decision now or is it just the normal time it takes to negotiate those things, thank you.
Ramon Fernandez: Okay, I will start with the last question and Pierre will take the wholesale question and Fabienne for fiber question. So on Bharti no, things are going quite normally. We have engaged in to these discussions during the summer. You know that August is generally not a time when you can, accelerate work especially if you have to go on the field. Discuss with the people, have a good counterpart etc. So things are going, we are perfectly on track with what we have expected and we hope to be in a position to decide what will be finally done, by end November, early December but things are on track as far as the timing, we had in mind is concerned.
Pierre Louette: Pierre on wholesale, regarding wholesale we have different parameters that you need to take in consideration. Looking out at next year, we can reasonably expect the couple loop price not to go down and even to go slightly up. This is our expectation for next year. So that's your first paradigm, which is not bad for us. The second thing is, France is still a country in which unbundle. So there is more good news to come from unbundling revenue, so that still will happen, has happened this year, will happen again next year. The third thing is, we're finding new revenues on the B2B market, new clients, new products, also so that's on the positive side. Then on other side, if you want to compare with last year actually, we've fewer in this semester fewer not unbundling but co-funding I'm sorry from certain customers. So actually this could, if it continues slowdown a little bit, the revenue for on the wholesale side, but it would also mean we will have more revenues on the retail side because if co-fund less, they have less rights, they commercialize less, so we make more revenues on the retail side. So that's not typically such a bad news and then the last point is, the roaming agreement and this year, we're not witnessing the decrease that we had expected actually to see so, we're pushing this potential decrease forward and actually, I think three [ph] is also pushing forward the moment when they will spend less with us.
Fabienne Dulac: For other question about the fiber. The market is turbulent and competitive, it's right. In this context, we use both fiber and adacel in function the local context and the local competitive in our territory. We had adapt our commercial strategy, but I want to say fiber is still priority and I just want to note that almost 61% of fiber net sales came from new customer in third quarter. So it's very important to find this point in here.
Operator: We will now take our next question from Simon Weeden from Citigroup. Please go ahead.
Simon Weeden: One of my questions is touched on and that's regarding Spain and Steve [ph] you've got strong net adds on fiber to the home at 142,000. I just wondered, if you could elaborate a little bit on, how we should interpret that number in particular? What sort of migration you're seeing from Orange DSL over the fiber from the Telefónica wholesale FTTH over to the Jazztel network, whether or not that is netted off in your FTTH customer account or not. And the second question was regarding the cable wholesale opportunity in Belgium and whether or not you see this regulatory intervention on cable is being something that could extend to other markets and potentially at some point in the future all the way across the European Union. Thank you.
Ramon Fernandez: Thank you. Jean Marc Vignolles, who's heading our Spanish Operations is online and will take your question on Spain and Gervais will come back on Belgium.
Jean Marc Vignolles: So regarding our fiber performance, clearly there's an impact has been commented of our ability to provision our Orange customers on the Jazztel footprint meaning that, as of August we've been able to, we've had excess to 5 million connected households instead of 1 million previously. So definitely, part of the performance is explained by the migration of our ADSL or FTTH wholesale customers to our own network in the Orange and Jazztel, but I will underline that we also I think strong performance in terms of fiber sales meaning acquisition of new customers and this both under the Orange and Jazztel brands.
Gervais Pellissier: Regarding Belgium, Gervais speaking, regarding Belgium. First, Belgium situation is quite specific compared to some other European countries. I've just remind you, that this is one of the European countries where cable penetration is very high and even for fiber very high broadband penetration deployed by the incumbent. So this is specific situation. However, we feel that the decision already made by the Belgium regulators even it's not fully finalized might be interesting for some other countries, but also might be interesting in my view, in the balance of power on the European continent between cable telcos and traditional telcos. Traditional telcos especially those are in fixed infrastructure have been highly regulated for the last two details. Whereas cable co.’s, were without regulation. So we think that it is, a first sign of change in my view. how will that extent we don't know yet, but for me this is a sign of change in terms of relationship but balance of power including maybe in the future of valuations.
Operator: We will now take our next question from Jerry Dellis from Jefferies. Please go ahead.
Jerry Dellis: Firstly a question on France. You mentioned that in the quarter you saw lower wholesale revenue from fiber co-funding, but I wonder generally as you look forward to the high planned for co-funding activity over the next couple of quarter. Do you see competitor activity there generally sort of increasing or on the way in? I think at the last quarter, Iliad talked about now co-funding on an industrial scale. That doesn't appear to be evidenced in the numbers, but so far at least. And then on Spain, be interested in what your overall fixed broadband net adds were in the Spanish market for Orange and Jazztel combined just to understand whether there have been any sort of underlying slowdown momentum there in the last quarter. And in addition to that, we obviously observed that you were promoting very heavily bundled products that included football, including the Media Pro content. Would be interested in what the take up of those source of football bundles was please in the quarter? Thank you.
Ramon Fernandez: So on the first question regarding the wholesale revenues and the co-funding. I think we need to make this really clear. There is one player on the market which has made commitments and which delivers on those commitments, it's Orange. Okay and delivering has also helped us taking a very nice market share in the FTTH market and it has helped us increasing our revenues and ARPU. It works from all points of view in the good direction for us, that's us. The other players, yes I think Iliad is announcing their intention to do more, I don't know. It's probably because they're suffering, they're hurting whenever FTTH comes by, their own ADSL suffers so. Maybe they will do it, I don't know, it's their problem. They need to transform this intention into a real decision. Meanwhile on the retail side, we're doing well, on FTTH we're doing well. So it's really something that is up to them and if we have a little bit less co-funding from them. I think it's vastly compensated on the retail side. So that's exactly our situation. Jean Marc, can you take the question on fixed broadband and bundles?
Jean Marc Vignolles: Yes. Regarding fixed broadband, we've had a performance in Q3 with 44,000 net adds which is very comparable to the one in Q2, plus 50 and this is a reflection on the one hand of cross of massive migration towards fiber and decrease of ADSL base. But also, the commercial coordination between Orange and Jazztel which we've been able to put in place and where obviously the net adds of Jazztel and Orange of the past coming from Jazztel and Orange customers have significantly decreased. So a sign obviously of the success of our synergies. This being said and regarding the TV offer, we believe as you see in the increase of the number of our TV customers, who are basically Convergent customers, a lot of them being new customers that our option to acquire [indiscernible] first time into participating in the acquisition process of the football distribution rights has turn into commercial success and we believe that, this policy through in large and improve, the portfolio of our premium content. Definitely the right strategy in an environment where it has been mentioned that the telco are now the only Pay TV platform on the market.
Jerry Dellis: Thank you. The fact that the Media Pro wholesale deal seems to have a very large fixed cost element to it, does that make it natural that you will continue to discount that beIN Sports product in your channels?
Jean Marc Vignolles: The promotion of the beIN Sports channel is related to the competitive advantage we have as Telefónica, who has you know is not at the moment, has not reached an agreement Media Pro, is not offering to its customer, the Champions League, which I believe is purely a commercial disadvantage. And regarding the conditions to be honest, for us. The condition set by Media Pro are fairer than the one, which have been imposed by the CNC in the allocation of the football rights regarding rigorous not so, there is no issue in our case regarding the conditions set by Media Pro.
Operator: We will take our next question from Frederic Boulan from Merrill Lynch. Please go ahead.
Frederic Boulan: Three questions, please. Firstly on your M&A strategy in Africa. As you can understand the rationale for increasing your exposure and how you expect the risk in your capsule evaluation assumptions. We've seen couple of fairly as like Kenya and Uganda. We've seen the value on your books Méditel or CORAC [ph] down by about 40% in two years. So there 0.2 tougher than expected ability for you to create value in those regions and do you expect that into the expected multiples when you look at in asset like the four Bharti assets. Second on the broader picture in terms of balance sheets and region policy, is your view still that you should be in a position to raise a dividend at once, that EBITDA is back to gross. And thirdly, a follow-up previous questions on fiber. You have a very strong momentum here commercially, when do you think it's about the right time to reduce the level of promotions in fiber and try to actually apply fiber out of premium versus DSL. Thank you very much.
Ramon Fernandez: Okay, on your first question on Africa. I think you have to look at it, in a broader view. Which is basically that all strategy regarding international expansion is to be in Europe and in Africa. In Europe, the strategy clearly is to be Convergent and this is what we aim to be in all our geographies, this is crystal clear. If we see, we cannot make it in good conditions. Well, we prefer not to be there. And this is why we have existed Armenia, so this is [indiscernible]. When you turn to Africa, which is today roughly 12% of group revenues with around 33% EBITDA margins. We are first of all looking at managing our assets before looking at M&A. So the first priority is to have tight management of our operations, being very active, investing on mobile networks, investing and developing on mobile finance, Orange Money is having great performances and you may have seen that, we have other project there. For instance opening in early 2016 a corridor between France and these countries which will make it much easier, much cheaper to transfer money from France to Africa or from Africa to France. So a lot of things are going on. When you look at M&A, we are extremely selectively looking at M&A operations. We are focusing on the areas where we understand the environment best and this is why, the assets of Bharti that we're looking at are in West Africa. Three out of four are in, an area you know French know very well because this is within France, in Congo, in Chad, in Burkina. There is no exchange rate risk. The legal framework is well known, etc. In the Anglophone part is close to Senegal and we know, this country well also. In these areas, we have maximum chances of developing synergies. Where it can be scale effect, we are also going to base ourselves on our operations there, not. I mean, it's premature to go into such details. For instance, when you look at Sierra Leone, which is close to Senegal. Our operations in Senegal, Sonatel which is performing very well will be extremely active in managing the operations there. And you can replicate this looking at some of the other countries that I have listed. I'm thinking especially of Burkina Faso. Which is very close to [indiscernible]. So we are also in a position that, we bid on clusters to work on network and IT optimization, on a scale effect which will increase on power vis-à-vis procurement, interconnection rates, etc. So we are extremely focused on paying the right price. We have intensive discussions in this area. The assets we are looking have today EBITDA margins around 25% which is in average 10 points less than our own operations and our goal is clearly to improve, the performance of these assets. So this will create value for the group and we will remain extremely focused and we will not go for assets, which would not be worth it, where we think we cannot make the difference of which we think would be too expensive. So this is our plan in terms of going ahead in Africa, but M&A only one small part of the story. About the dividend and what is the perspective regarding the dividend. Well once again, I can only repeat what we have said consistently since March. Which is that, we have very strong commitment, a very strong commitment which is to stick to $0.60 per share as a minimum and this is our commitment for the next years. And as we said and I can confirm this, we do not exclude to augment the dividend, depending on the performance of the company and you have seen and you have heard this morning, that we are doing well. So we will see what's next, but you can be at least comfortable with the fact that, the current policy is going to be sustained and then, if the performance is good enough. We will think about our shareholders as we do every morning. There was, maybe one last question you had on fiber. Turning back to Fabienne.
Fabienne Dulac: So as I said, we pursue how marketing and commercial strategy. It has been and it is today, a successful strategy. So for the future we will see, for whole move. It depend on the market condition and the market context. As I said, as before we are very confident at this moment in our strategy and I want to recall, the ARPU in fiber is currently five-year above the ARPU of [indiscernible]. So it's a priority in this way.
Operator: We will now take our next question from Giovanni Montalti from UBS. Please go ahead.
Giovanni Montalti: Just following up on Spain, continued effect that you were saying that you want to be as independent as possible from Telefónica. Would you consider further M&A in that market? Thanks so much.
Ramon Fernandez: No, I think today the Spanish market is quite well structured and you've seen some of the reactions of the European commission on other deals in other countries. We think, we have achieved a point where we are at least this is a position of our ones, we have seen the right level of consolidation. There are three big operations and still potential smaller operations who could organize between themselves, but that's not an objective for us.
Giovanni Montalti: Thanks, sorry. If I may a quick follow-up on France. You're referring many times to the turbulence in the broadband market. I understand I mean you're pretty convinced of your strategy and is working pretty well. I was just wondering, if you will consider a farther let's say acceleration, commercial push from your conversion product on Open, if these let's say turbulence on the broadband market especially should continue? Thanks.
Fabienne Dulac: As I said, we pursue in the same way, in the same strategy and I have nothing else to say.
Operator: We will now take our last question from [indiscernible]. Please go ahead.
Unidentified Analyst: My question relates to the decision from the efficient from the confer data to and the right, to the way we can roaming contract are under in France. When do you expect any change regarding that and what kind of change could we expect? I think there is already working group in that and that could hard less understanding. Thank you.
Ramon Fernandez: So regarding this decision, it has different aspect. The first aspect is the fact that the confer data states that ARCEP the regulator had the right to really intervene and look into those contracts, that's the first part. The other, the consequences of the other are two-fold. ARCEP is going to explore, the two actually. The two roaming agreements that France knows today. One is the very well-known and very profitable contract that we have with Iliad and the other one is the roaming agreement that Bouygues and SFR have given each other in their mutualisation agreement. So it's' very interesting for us too because this is something highly disputable and ARCEP will look into that. So this is one consequence. Regarding our own contract, we have created a 1 year ago, an extinction committee that has started working on preparing the extinction of this roaming agreement and there is, there are parts of that committee coming from Iliad and other is coming from our side. So we're exploring the different ways to finish this contract, which ends on the 20 December, 2017. Various options have been considered, some of them rely on geographical extinction, others on the diminution of the intensity of access that we give to our partners. At any rate, we'll have to produce a stronger, a more complete and a more efficient coverage of the landscape and they're working on this, I think.